Operator: Good morning, and welcome to Utz Brands Third Quarter 2022 Earnings Conference Call. All parties are in a listen-only mode. After the speakers' presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Kevin Powers, Head of Investor Relations. Please go ahead, Mr. Powers.
Kevin Powers: Good morning, and thank you for joining us today. On the call today are Dylan Lissette, Chief Executive Officer; Ajay Kataria, Chief Financial Officer; and Cary Devore, Chief Operating Officer. Dylan and Ajay will make prepared comments this morning, and all three will be available to answer questions during a live Q&A session. Please note that some of our comments today will contain forward-looking statements based on our current view of our business, and actual future results may differ materially. Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance. Before I turn the call over to Dylan, I just have a few housekeeping items to review. Today, we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. Finally, the company has also prepared presentation slides and additional supplemental financial information, which are posted on our Investor Relations website. And now I'd like to turn the call over to Dylan.
Dylan Lissette: Thank you, Kevin, and good morning, everyone. I'm pleased to report that our momentum continued in the quarter, and we again delivered results that were ahead of our expectations. Consumer demand remains robust for our brands and our products, driving record third quarter net sales. We have found that during both times of recession and when times are good, consumers reach for fun and indulgent snacks that they feel come at a modest price point, and our products are well positioned for continued success in a perpetually growing category. Furthermore, in line with our seasonality, both adjusted gross margins and adjusted EBITDA margins improved sequentially. In addition, we are successfully managing inflation as the combination of our revenue management actions and our productivity initiatives are now fully offsetting high inflation. These actions are providing the fuel to ramp up continued investments in our people, our brands, our selling infrastructure and our planning capabilities. For example, we are increasing our working media spend compared to last year as well as elevated merchandising and point-of-purchase support and spend. Given the close to 250-plus DSD routes that we have added year-to-date, we are investing in growing our selling organization, which includes people and new distribution centers, for example, to support our growth long-term. And finally, we have been increasing strength behind our planning capabilities to include investments in our people and processes to support our integrated business management initiatives and revenue management programs to ultimately provide a strong foundation for continued future growth, efficiency and capabilities. We believe these collective efforts will drive value for our retail partners and best position us to capitalize on our white space opportunities and drive consistent organic growth. Bringing this all together and based on our performance year-to-date, our current business momentum and what we're seeing currently regarding limited price elasticities, we are, once again, raising our net sales and adjusted EBITDA outlook for the full-year. Our cost visibility and forecasting capabilities continue to improve, and I'm incredibly proud of our team's execution against the expectations we put in place at the beginning of the year. Briefly touching on our third quarter financial results, total net sales grew approximately 16%, which reflects our strong organic growth of 12.6% as well as the contribution benefit from our acquisitions of 4.7%. I'm impressed with these results as we continue to drive strong net sales growth even as we continue to simplify our portfolio. Turning to our retail consumption trends in the quarter. For the 13-week period, our positive sales results continued, with our third consecutive quarter of double-digit retail consumption growth and we increased retail sales 17.2%. And, as we expected, our retail sales growth in the 13-week period slightly lagged the overall salty snack category. As noted in our second quarter earnings call, certain subcategories were impacted by the lapping of strong promotional features in the mass channel in the prior year and as expected, some of these timing dynamics continued into the third quarter. That being said, even as we lapped very strong growth in the prior-year, our Power Brands continued the strong momentum in the quarter with growth of 17.4%, six of our nine Power Brands delivered double-digit growth. And to just highlight a few, our flagship, Utz Brands, which is about 52% of sales, grew more than 22%, Zapp's grew 29%, and ON THE BORDER grew about 12%. In addition, our Foundation brands had a very strong 16-plus percent growth rate in the quarter. In short, a very strong showing across our brands. Turning to our growth drivers in the quarter by subcategory. We delivered double-digit growth in retail sales across our three major subcategories of potato chips, tortilla chips and pretzels, which represent about 75% of our retail sales. In addition, we, once again, drove share gains in our largest and most important subcategory, potato chips, with robust growth of nearly 30%, led by strength across the grocery, mass and C-store channels. Important to note, in tortillas, our ON THE BORDER brand delivered over 50% growth in the last quarter in the grocery channel. This is a channel that the OTB brand has historically been underweight in, and we are excited to see these strong results in this important channel as the brand benefits from our route-to-market into this channel prove out. Salsa in Queso, a subcategory for us that is currently approaching $100 million in annualized retail sales, also continued to significantly outperform, once again, with growth of 22% and 65%, respectively. And as I mentioned earlier, our overall sales were impacted by the lapping of very strong promotional features in the mass channel in the prior-year. This is most pronounced in our tortilla chips and cheese subcategories, whose sales are more heavily weighted towards the mass channel. I will also note that pork rinds, which only represent about 5% of our retail sales, is something that our team is actively working to address the supply chain opportunities to unlock their full potential. And as we ramp pork production capabilities in our Kings Mountain facility, you will see that this new and modern facility should significantly help to address these supply chain opportunities. In the quarter, we also continue to make great progress driving geographic expansion, while also continuing to improve our execution in our core markets. We delivered double-digit retail sales growth across all of those geographies. In our core, which represents over 60% of our retail sales, retail sales increased over 18%, with our flagship, Utz Brands up 20%; ON THE BORDER tortilla chips up nearly 30%; and Zapp's up 22%. Beyond the core, we continued our momentum with double-digit sales increases in both emerging and expansion. In our emerging geography, which is our second largest geographic area, sales increased a robust 20.6%, with our Utz Brands growing over 34% even as we lap significant above-market growth of 23% in the prior year. And consistent with the earlier context, we shared related to our tortilla chips sales performance against the overall category, and given the weighting of ON THE BORDER brand in our expansion geographies and lapping strong promotional features in the mass channel in the prior year, this impacted sales growth in the quarter in expansion. Importantly, our flagship, Utz Brands, continues to show that its brand strength travels across the United States and was again, up nearly 30% in the expansion geography, and similar to the emerging geography, was building on the prior year's growth of 21%. Also, in the developing Better-For-You segment of salty snacks, we thought it was important to share that our retail sales in the natural channel increased by over 19% in the third quarter, significantly outpacing category growth of approximately 10%. Our main BFY, or Better-For-You brands in the natural channel are Boulder Canyon and Good Health, and we now have the #3 ranking in the salty snack category in terms of retail sales in the natural channel as measured by Spins. The Boulder Canyon brand also continues to deliver record sales in the traditional MULO-C IRI reporting as well. Finally, I wanted to take a few minutes to reflect on the momentum we've been building over the past few years as we mature as a public company. We have been on an impressive growth journey, marked by rapid expansion in our scale, geographic reach and our portfolio of brands and products. Since going public in August of 2020, our team has worked incredibly hard in the midst of challenging times, COVID-19 lockdown, supply chain disruptions, historically high inflation with a laser focus on doing what's right for our customers and doing what's right for our business for both the short term and also, most importantly, the long-term. Over two years ago, we entered the public markets so that we could create an even stronger national platform of snacking brands that would be able to delight customers across the United States. I believe we've been executing very well across these strategies since going public, with strong progress across several areas. Just to name a few, since 2019, we have increased annual retail sales from about $970 million to over $1.55 billion, our market share has gone from 3.8% to 4.6%, and we've improved our salty snack category ranking from the fourth largest brand platform in the U.S. to now the third largest. In addition, we have improved our share in major channels that we had set out to focus on, moving from #4 to #3 in mass and from #3 to #2 in pub. We've also expanded into key subcategories, like tortilla chips, where we essentially had no share in 2019, and now we're up to almost 4% of share, driven by the acquisition of the ON THE BORDER brand, which is approaching $300 million in annual retail sales over the last 52 weeks. Finally, we've grown our Utz Buyers or households from $48 million to $63 million, and we have continued to expand our DSD network from about 1,650 routes to over 2,100 routes today, all the while converting from RSP to IO, moving from about 77% independent operator or IO in 2019 to about 91% independent operator today. All of these results are a true testament to our brand strength and to the incredible talents of our collective team of over 3,000 Utz associates that are dedicated to delivering on so many fronts to our continued success. Bringing it all together, I'm incredibly confident that the foundation we've built over the past few years has Utz uniquely positioned to continue to succeed for generations to come. So looking ahead, I've never been more excited about our growth opportunities as our business turns the corner after a challenging period. Utz has never been stronger, our growth opportunities continue to be multifaceted, and our management team is succeeding across so many fronts. To that end, we have strong growth momentum in the resilient and growing salty snack category, we are continuing to make investments to support our significant white space growth opportunities, our margins are recovering as revenue management and productivity are now fully offsetting inflation, and our recent acquisitions are enabling increased scale of manufacturing capabilities to efficiently support our strong demand. And finally, before I turn the call over to Ajay, I just want to make a few additional comments about our CEO transition that is currently underway. As we announced in early October, I am incredibly excited to pass the baton to Howard Friedman as our new CEO in mid-December. Having led some of our country's most iconic brands, and with his established track record of profitable growth, I believe Howard is the ideal leader to leverage our momentum and take Utz to the next level. For me, personally, I'm looking forward to my transition to Executive Chairman and then eventually Chairman of the Board as I will remain very actively involved in the company, helping to guide the company in various areas of importance from corporate governance to business strategy. Over the coming months, I will continue to work closely with Howard, our management team and our Board to help ensure a smooth transition and to maintain the continuity of Utz's heritage and forward growth momentum. With that, I'd now like to turn over the call to Ajay Kataria, our CFO. Ajay?
Ajay Kataria: Thank you, Dylan, and good morning, everyone. I would like to begin by congratulating Dylan for successfully leading the company over the last decade as CEO to our current position of strength and beginning the transition to Chairman of the Board. I am looking forward to welcoming Howard to Utz in December. And along with the rest of the management team and associates, I am excited to build upon this year's strong growth momentum. I would also like to congratulate all of our associates across the company for delivering another record quarter of net sales performance, along with continued sequential improvement to margins and year-over-year profit growth. Thank you, team. Now I will review a high-level summary of our third quarter financial performance, and then we will discuss our net sales and margin drivers. Our third quarter 2022 net sales were ahead of our expectations and increased 16% to $362.8 million. Adjusted gross margins expanded 79 basis points to 36.5%, and this includes an approximate 130 basis points of negative impact from our IO conversions. Our adjusted EBITDA increased by 6.5% to $47.7 million or 13.1% of sales, which was a sequential improvement of 100 basis points relative to our second quarter 2022 results. Adjusted net income was $22.5 million compared to $26.1 million last year. Our adjusted net income reflects good operating performance, offset by higher net interest expense due to higher interest rates and incremental debt and also higher core depreciation expense, as we have added new manufacturing assets through several acquisitions in the last 12 months. Moving to the P&L for some additional detail, starting with net sales. Our net sales growth in the quarter was 16%, driven by organic growth of 12.6%, acquisitions-related growth of 4.7% and an impact from conversion of RSP routes to IOs, which reduced the net sales growth by 1.3%. Our organic net sales growth of 12.6% was driven by price/mix of 14.7% and lower volumes by 2.1%. Both pricing and volume performance were better than our expectations as we continue to execute our planned pricing actions to offset inflation and experienced lower-than-anticipated price elasticities. As we had anticipated, volume was proactively impacted by approximately 300 to 400 basis points due to our strategic SKU rationalization activities that are meant to simplify our portfolio, optimize mix, and increase focus on our Power Brands. In addition, as we expected and referenced in our second quarter earnings discussion, we are also lapping strong promotional features in the mass channel in the prior year that temporarily impacted volume growth. In the third quarter, adjusted EBITDA increased 6.5% and margins were 13.1% of sales. Decomposing the change in the adjusted EBITDA margin for the quarter, positive drivers include price/mix benefit of 14.7% as we continue to take pricing actions to offset inflation and productivity improvement of 200 basis points. Offsetting these drivers were unfavorable margin impact of 14.3%, driven by higher inflation, including transportation costs and selling and administrative expense of 350 basis points. Our inflation impact versus last year was comprised primarily of elevated labor and transportation costs as well as higher commodity input costs. Selling and administrative expense, which excludes distribution expense, increased primarily due to higher accruals for incentive compensation, commensurate with fiscal 2022 performance lapping softer performance last year. In addition, as Dylan described earlier, we continue to increase our investments in our people, brands, selling infrastructure and planning capabilities to support our growth. Importantly, our third quarter margin performance was consistent with our value creation strategies and reflects the execution of our playbook. Just to highlight a few, we are proactively optimizing our revenue mix and rationalizing less productive and lower-margin SKUs and we have eliminated more than 350 SKUs, with a primary focus on private label and certain partner brands. These actions free up capacity in our plants and distribution network, which will help us to service higher-margin Power Brand business over time. We are further developing our price pack architecture programs and optimizing our trade spend, leveraging improved technology, talent and analytical capabilities. We are delivering our expected M&A cost synergies from our recent acquisitions since going public. And importantly, all of these acquisitions are now fully integrated to our new ERP systems. This is an important building block for our ability to operate our business using a common platform, which gives us better visibility to drive future portfolio synergies and scale. We are ramping up production at our new Kings Mountain facility, with our first pork production occurring in the third quarter of 2022 and kettle chip production planned for the second half of next year. Importantly, Kings Mountain will increase capacity for certain key subcategories that have been more recently affected by certain supply constraints. Finally, we are executing our productivity programs focused on manufacturing efficiencies, including logistics and network optimization, packaging design work and product formulations. We are on track to deliver productivity of approximately 3% of this year as a percent of COGS, which is helping to offset gross inflation. More importantly, our talent and capabilities have improved significantly in this area. I am incredibly proud of our execution this year during a challenging environment, and we expect these programs will continue to build momentum into fiscal 2023 and beyond. Now turning to cash flow and balance sheet. Beginning with cash flow, we generated stronger cash flow from operations in the third quarter of $34.4 million, which brings our year-to-date cash flow up to $8.1 million. Of note, as we had previously discussed, our cash flow this year has been impacted by the $23 million of buyouts of multiple third-party DSD distribution rights in the first quarter of the year that were treated as contract terminations and booked as an expense in adherence to GAAP. In addition, our working capital performance improved in the third quarter, consistent with normal seasonality, and we expect this to continue and to be a source of cash in the fourth quarter. Year-to-date, capital expenditures were $68.7 million. As a reminder, in April, we announced and closed the transaction of our Kings Mountain facility. In accordance with GAAP, the $38.4 million purchase cost of this facility was recorded on our statement of cash flows as a capital expenditure and not as an acquisition. Excluding the purchase of Kings Mountain facility, capital expenditures would be $30.3 million. Moving to the balance sheet. Net debt at quarter end was $870.2 million or 5x normalized adjusted EBITDA of $175.6 million. In addition, after the end of the third quarter and as we previously announced, we entered into a new real estate senior secured term loan of $88 million, maturing in 2032. Importantly, this loan has an effective fixed rate of 6% via an interest rate swap. Amid a rising interest rate environment, this real estate term loan puts in place a low fixed rate instrument that increases our financial flexibility as we continue to expand distribution and generate strong organic growth. Proceeds from this strategic financing were used to pay down in full the outstanding amount under our revolving credit facility, with excess cash going to the balance sheet. Pro forma for this transaction, as of October 12, our liquidity significantly increased to approximately $215 million as compared to $138 million as of fiscal third quarter ending October 2. And now about 70% of our long-term debt is fixed at approximately 4.6%. Also, just as a reminder, we have no significant maturities on our debt until 2028. And our credit structure is comprised of covenant-light debt instruments. We have no maintenance covenants on our term loan B, which provides significant EBITDA headroom, while we work on reducing leverage. Now turning to our full-year outlook for fiscal 2022. Given our stronger-than-expected year-to-date performance, continued strong consumer demand and better-than-expected price elasticity, we are again, raising our net sales and adjusted EBITDA outlook. We now expect total net sales growth of 17% to 19% and organic net sales growth of 13% to 15%. As we have better visibility into price elasticity impact, given our third quarter results, our net sales growth outlook now assumes fourth quarter volume performance to be similar to our third quarter results, and fourth quarter price to deliver more than 12% in price/mix benefit. Our volume outlook assumes continued incremental and strategic SKU rationalization in the fourth quarter, as we optimize our portfolio with an enhanced focus on prioritizing production and distribution of branded products to unlock additional capacity for our growing Power Brands. Given our stronger net sales outlook, unchanged assumption for gross input cost inflation and the building benefits from pricing and productivity, we are again, raising our adjusted EBITDA growth outlook from a growth of 2% to 5% to a range of $166 million to $170 million. This raised outlook translates to a year-over-year growth of approximately 6% to 9%. As a reminder, in line with typical seasonality, we expect fourth quarter margins to be lower than third quarter margins. We continue to expect gross input cost inflation, inclusive of raw materials, labor, fuel and freight, to be a mid- to high-teens percent increase versus the prior year. In response to these rising costs, we have been implementing inflation-justified pricing actions, and you have been seeing these build in our sales results as we implemented new actions in February and May of this year and more selective actions were executed in October. Given better-than-expected revenue management actions to date, we now expect to deliver low double-digit price/mix this year to help cover our inflation expectations. In addition, we now estimate capital expenditures of approximately $40 million versus our previous expectation of $50 million. The lower spend this year is largely due to the timing of certain projects, which we now expect to occur in fiscal 2023. As a reminder, our CapEx guidance excludes the purchase price of the Kings Mountain facility. In addition, we continue to expect an effective tax rate of approximately 20% and net leverage at year-end to be consistent with year-end 2021. Before I turn the call back over to Dylan, I would like to thank our entire Utz team, once again for setting us up for a successful exit to fiscal 2022, and a strong position stepping into 2023. In addition, I want to personally thank Dylan for being an incredible partner, coach and operator, and I look forward to his continued counsel from the Board's Chair. Thank you, Dylan. Over to you.
Dylan Lissette: Thanks, Ajay. Before we open up the call for questions, I'd just like to reiterate how well positioned I believe we are in the current environment. Our enhanced planning capabilities are helping to improve throughput and unlock bottlenecks. The salty snack category remains strong with minimal price elasticity and minimal private label penetration. We now have proven and developing capabilities to offset continued inflation with both price and productivity. And we have mitigated our interest expense risk and a potential rising rate environment. And as a further note, we don't have any material foreign exchange exposure nor do we have any pension liability exposure. In closing, I believe that we have turned the corner, our visibility has greatly improved, and I'm confident in our ability to continue to drive organic net sales and adjusted EBITDA growth next year. Importantly, we will continue to invest in key areas to support our growth, while we manage high inflation. With that, operator, you may open up the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Andrew Lazar from Barclays. Please go ahead. Your line is open.
Andrew Lazar: Great, thanks. Good morning everybody.
Dylan Lissette: Good morning.
Andrew Lazar: Maybe to start off. Obviously, I realized you're not providing sort of detailed '23 guidance at this stage. But I just wanted to get a sense of, if there was anything that you can sort of see today that you do have visibility to that might sort of take us off course from kind of an algorithm year, which is essentially, I guess it's 3% to 4% net sales growth and 6% to 8% adjusted EBITDA growth?
Ajay Kataria: Andrew, this is Ajay. I'll take that. Thank you for the question. So you're right, we are not guiding to 2023 today. It's a little too early to talk about specific numbers. However, I can tell you that the visibility into our business has greatly improved, and there is a lot of momentum in the business going into 2023. So based on what we see today, there is really nothing that should take us off course next year, and we are confident that we can deliver the algorithm that you just noted. I also want to sort of remind you of some areas of momentum that we outlined in our prepared remarks, just to repeat, our capabilities around planning, supply chain, revenue management, productivity, et cetera, they've been in a good place, and we are still in early innings in a lot of those, and that momentum is building. The category remains strong. Price elasticities are negligible. We do have -- we are making investments in the business, and we'll continue to do that. But we -- and we expect, based on what we see today about high single-digit inflation in terms of percent of COGS next year as well. But given with all of that, our capabilities will allow us to continue to offset those, and we should deliver on algorithm next year.
Andrew Lazar: Thank you for that. And then Dylan, I was hoping maybe we could explore a little bit more in sort of what ways you see the new CEO being additive to Utz in terms of unique skill sets and such. I guess what are the areas where Howard can perhaps enhance capabilities? And essentially, what does he bring to the table? Thanks so much.
Dylan Lissette: Yes. Thanks, Andrew. Thanks for the question. I'm really excited about Howard joining the team. Howard, we announced back in early October, we've had about five weeks or so of interaction, and he's been able to meet with a lot of employees and associates, visit some of our plants, really listening and learning toward to kind of understand our business better, but also just to start to formulate opportunities, challenges, areas of expertise, areas of -- that we could possibly be leaning more into as well. And so we have another couple of weeks until we sort of make the transition in mid-December, but Howard has been doing great. And so his expertise in innovation, in marketing, operations, all of those things. He has a great background in building brands. And I think that's an area that, over the last 100 years, we have done a great job at. But I think at the end of the day, innovation and expanding our product line is an area -- marketing and branding are areas that we've underinvested in the past that part of our formula is to invest more in the future. And ultimately, I have a very strong sense that it is truly a one plus one equals three. I'm enthused by the interactions so far. The team's interaction with Howard, his abilities, and it's just going to be what I think is something that's great for investors, great for the shareholders, great for the company, great for the brand.
Andrew Lazar: Thanks so much.
Operator: Our next question comes from Jason English from Goldman Sachs. Please go ahead. Your line is open.
Jason English: Hey, good morning folks. [Indiscernible]. Congrats on the continued momentum. A couple of quick questions. First, can you update your free cash flow outlook? And then sticking on the topic of cash, talk about your priorities regarding working your leverage down versus M&A in the current interest rate environment?
Ajay Kataria: Hey, Jason, thank you. Yes, we are very pleased with the Q3 results. So we had good performance in terms of cash flow in Q3, and that's our seasonality. And you'll see that we'll continue to perform well going into Q4 as we exit 2022 on the cash front. And we will get to our goal by the end of fiscal 2022 of approaching where we finished 2021. So we are on track for that. What -- in terms of how we are thinking about leverage, our thinking really hasn't changed. We said that we want to approach the top end of our range of 3x to 4x by -- in fiscal 2023, and we still are working on that goal. And you've seen us do positive things to improve margins, improve earnings, drive our growth and free up cash. And to the extent that we can work both the numerator and the denominator to get to our leverage goals, we are doing so.
Jason English: Based on kind of the P&L math, it looks like to get there, you're going to have to put M&A on the back burner for a while, at least through next year. Is that fair? And also in terms of the routes that you bought, the distributorships that you bought back, is that just a restructuring, should we expect you to resell those and raise more cash going forward? Thank you.
Ajay Kataria: So you had a couple of comments in there. So M&A, we are -- we continue to be opportunistic. We are looking at -- continuing to shore up our master distributor buyouts with -- and the DSD route infrastructure. We have effectively added, this was in our prepared remarks, about 250 routes since year-end 2021 into our portfolio, and that's supporting our growth. Some of that work is going to continue. We are going to continue to be opportunistic on M&A. And then, that said, as we think about M&A and growing the business, we are kind of being prudent in how we invest that cash, keeping leverage in mind, and that playbook is going to keep going.
Dylan Lissette: Yes. And Jason, this is Dylan. Say hi to your dogs for us, if you don't mind. In terms of spend on M&A, I think what we did in 2022 and 2021, was invest a lot into our capacity. So we saw M&A that we did Festida in 2021, R.W. Garcia in late 2021. We didn't have a lot of that in 2022. We don't think we'll have a lot of that in 2023 as we look forward. But if you add up sort of the cash that left the system for those acquisitions, they were really building blocks for the foundation of supporting the growth of the OTB brand, the growth of our overall capacity and demand cycle. So as we look into 2023, while to Ajay's point, we are not taking M&A off the table. I mean we have our balance sheet. We have other ways of our equity and ways to look at how to think about M&A, especially if it's very strategic, very accretive expansion to our platform that adds value to our scale and relevance in the industry. So it's not off the table, but we obviously are understanding that we're trying to drive down our leverage. We're going to generate more cash. We're not going to have as much capacity building cash going out the door in 2023, like we did in 2021 and early 2022. So I think we're in a really good spot as we look 2023.
Jason English: For sure. Makes sense. And I agree, the acquisitions are sound, they make a lot of sense. And my dogs were very seized by them as well, as you rightly noted. [Indiscernible].
Dylan Lissette: Thank you.
Operator: Our next question comes from Rob Moskow from Credit Suisse. Please go ahead. Your line is open.
Robert Moskow: Hi, I was just hoping you can give us a little more color on whether or not there are more incremental pricing actions that you still need to take to cover the high single-digit inflation you're talking about for '23. Or is this inflation really just kind of a wraparound of inflation that's accumulated during the course of '22 and will be mostly in the first few quarters of the year?
Ajay Kataria: Yes. So there is a rollover or wraparound impact for inflation as well as price and productivity. So there's definitely a benefit there from price and productivity just by doing nothing. That said, our -- we have talked a lot about our improved capabilities. So to the extent that the market dynamics require it. We are prepared to execute on both fronts, on price and productivity front, to offset anything that we find. Now I will point out that there is a lot of work that we are doing around price pack architecture, improving our portfolio mix. We have talked about SKU rationalization. The other side of the coin of that SKU rationalization activity is we replace that dollar of sale with a power brand dollar of sale, whether it's our plants or distribution network, and that comes at a higher margin mix. So that benefit is also starting to come through. You see -- you saw part of that benefit in our price/mix delivery in Q3. So all the work that we are doing means that going into 2023, we have some organic benefit to offset high single-digit inflation available to us before we have to go to [indiscernible].
Dylan Lissette: I think Ajay is saying it right. I mean our technology and our talent in our [indiscernible] areas. And if you think about sort of the relative complexity of our business, we have DSD, we have DTW, we have third-party master distributors. It's somewhat complex. We have multiple brands. We have multiple PPGs. Our technology and our talent has increased, Rob, dramatically if you think about the beginning of 2021 when we kind of installed it. We're now 18-plus months into that. We've added more bodies, not just talent, but also bodies. And I think that's really going to help us as we sort of drive, where is that next 10, 20, 30, 40 bps of sales that we can drive out of that. So I think our capabilities are increasing that may or may not mean a list price increase. It may just be more about sort of churning through our data, working through our customers, our channels, our routes to market and really finding the opportunities, which is essentially with [indiscernible] and price pack architecture at the end of the day due on a day in and day out basis.
Robert Moskow: So maybe if I could summarize. But it doesn't sound like there was any list price increases in fourth quarter or it doesn't sound like there's going to need to be any? And also, it also sounds -- did your inflation guidance for this year about the same as it was three months ago or is there any change to it for this year?
Ajay Kataria: So the inflation guidance is the same. We actually had good visibility, so we have not had to change it in the last three to four months. The question around new pricing in October, we are being very surgical in October. We have taken a couple of rounds back in February and May. So those have been delivering for us. What we are doing in Q4 is more of cleanup activity parts of the portfolio that we missed and going and addressing those, customers and channels that we had not addressed, we are addressing those as well. So we're doing a lot of that work. There isn't a -- there is not a broad-based list price increase that was executed in October.
Robert Moskow: Got it. All right. Dylan, congratulations. Thanks a lot.
Dylan Lissette: Great. Thank you.
Operator: Our next question comes from Michael Lavery from Piper Sandler. Please go ahead. Your line is open.
Michael Lavery: Thank you. Good morning.
Dylan Lissette: Good morning.
Michael Lavery: At second quarter, you had characterized the sales split is more first half skewed for the year. And obviously, it's now looking like it's at least balanced or maybe a little bit skewed to second half. You touched on the accelerated -- the higher outlook for the price mix lift for the year. I just was curious if you could dissect that a little bit? And how much is it promote adjustments or mix? Or did you take more list pricing than you had initially anticipated?
Ajay Kataria: Thank you, Matt. So yes, the sales is a little more balanced first half, second-half, now. And the increased outlook is for two reasons. One big reason is that we had a volume decline that we had assumed because of consumer pullback in elasticities in the second half, which did not come through in Q3, and we are guiding to Q4 to be more like Q3. So therefore, we are -- we have an improved volume assumption in there. I think that's the big driver. And then we are also -- we experienced a bigger benefit to price in Q3, and we are flowing that into Q4 as well to guide to a higher sales in the second half. And that's the other driver. So we were -- I believe when we came to you three months ago, we said we are looking at more than 10% price for the year, and now we are looking at low single -- low double-digit price for the year.
Michael Lavery: And from the 3Q run rate, should 4Q hold that? Or is there any reason for deceleration holding it would certainly put it closer to like, I think, a 12.5 or even 13 on the year? Is that the right way to think about it?
Ajay Kataria: I assume you're talking about price, right?
Michael Lavery: Yes, right. Sorry, the price mix piece.
Ajay Kataria: Yes. So Q4 should hold the Q3 numbers with one edit that we have to consider last year's lap. So the fact that last year stepped up in Q4, so we are backing that out. So your calculation of around 12% for Q4 in terms of price mix is spot on.
Michael Lavery: Okay. Great. And could you just touch on the price gaps competitively. With all of the pricing in the market, have you seen those change in any categories or for certain brands that have been meaningful? Or has the pricing being pretty broad across the segments and categories?
Ajay Kataria: So I think the short answer is the category has been pretty rational. So for the most part, it's been moving in lockstep. So I don't think that gaps versus competition or anywhere in the category in the subcategories anything has gone high. Dylan, any?
Dylan Lissette: Yes. What I'd say, Michael, is we all -- everybody in the industry have real inflation, right? There is real pressure on cooking oils, right? The cotton seed oil, soybean, there's real pressure on that. There's real pressure on freight. There's real pressure on labor. There's real pressure on a lot of the different commodities that go into it. So I think, in general, as we sort of are all attempting to sort of price to overcome inflation, allow us to do the reinvestments that we're doing and people and technology and selling infrastructure and planning capabilities, as we sort of look out into the future, I think that everyone in the industry is going to have similar issues and similar innovation to overcome. And so I don't think it's going to be any massive dramatic changes in sort of the -- in pricing and how it looks across the industry.
Michael Lavery: No that's helpful. I guess I was partly thinking of sort of subcategories or looking a little bit at like Slide 7. You called out some promotional swings there that really changed how to think about the share momentum fluctuated. Maybe the simplest -- I'm trying to understand if we should expect the share momentum to snapback or recover? Or is there anything in terms of a price gap shift competitively that might be sticky, we should have in mind?
Dylan Lissette: Yes, and that's not pricing. Pricing isn't really making a big difference there. I mean what we're -- the -- it's a wonderful thing when you report 17%, 18% growth in your retail sales. And on a year-over-year basis, we had a fantastic really, really strong growth in mass, in OTP, in certain subcategories in the prior year. And we're just -- we're going against an incredible third and fourth quarter of last year, right? But when we dial down into the channels, we dial down into the brands, I mean, you're seeing just -- we sort of laid it out in the -- on the various slides. You're seeing tremendous double-digit growth across so many of our brands. It's not driven by pricing, it's really year-over-year lapping. And we see very strong results. We have the benefit of sort of some insight into how the last couple of weeks have gone. DSD is very strong. It's about half of our business. We see results day in and day out. We're very pleased by what we're seeing. So it's not a pricing thing, it's really just a year-over-year lapping thing, which is kind of just a snap in time.
Michael Lavery: Okay, great. That's helpful. Thank you.
Operator: Our next question comes from Bill Chappell from Truist Securities. Please go ahead. Your line is open.
Bill Chappell: Thanks. Good morning.
Dylan Lissette: Good morning.
Bill Chappell: You just -- and you may have covered this, I just want a clarification. As I look at the numbers, your 17%, 18% growth is certainly strong, but it was slightly below the salty snack category. And I just want to make sure, you may have covered this, but is that pricing? Was that just comps? Was that just product mix? Anything else I should be thinking? And how would you be expected to trend as we move into the fourth quarter?
Dylan Lissette: Yes, sorry, I feel like it's very similar to my answer to the last question. The category itself was -- I mean, what a great category, if you're talking about a category that's growing 17%, 18%, 19%, right? Years into the sort of uptick in the category sales. This is a category that traditionally does 3% to 4%. We were slightly under mostly attributable to, we can really dial it down to the mass channel, OTP, a fantastic, fantastic above-algorithm year last year in the third and fourth quarter for that channel, for that brand. We're lapping it. When you look at the underlying brands like Utz and Zapp's and OTB, they're both doing double-digit growth. OTB is growing 50% in the grocery channel, as an example, which is fantastic, right? One of the reasons why we bought that brand was to see the expansion of it beyond mass into areas like grocery and food, and we're really seeing the results of that. So -- yes, I would just take it as -- it's just a blip and time a snapshot.
Bill Chappell: Okay. And then on the [indiscernible] I mean would you think there was any benefit from the category or even your business from kind of another phase of reopening? And that I think of schools all kind of back to normal versus last year, I think of back-to-the-office a little bit more? Maybe it benefited single serve or higher price points, but I'm not sure you would have a better idea of kind of looking at that if that had an impact?
Dylan Lissette: Yes. I don't really -- I mean I think when it became work from home, people asked us if that's why sales were up, because everybody is working from home. And then it became a hybrid, where some people were back two or three days a week into the office and sales continued to be up, not just for us, but for the category. It's a super strong category. And now if it's sort of a little shifting towards more people working back in the office and less people working from home. We're seeing obviously some channel shifting, right? It's probably -- that's probably more economic driven than like work from home driven, where people are seeking out a discounted product to buy and maybe changing some of their patterns. But I mean, I think our sales momentum has continued strong. The category has continued strong. Pricing, obviously, is a part of that. Low elasticity is a part of that. Low private label penetration, our unique route to market, right? You think about our DSD, and I alluded to that in the last question, how strong that is. It's a little bit over 50% of our business. We have over 2,100 individuals, independent business operators, for the most part going into stores every day selling our products. And that's a really strong defendable moat in a route to market that is unique, I think, for our category, because it's not just us, many of our competitors have it as well. And I think that's a route to market that's very strong for our continued success in this category.
Bill Chappell: Got it. And last one for me. Just any update on the publics rollout? I'm hearing Atlanta, and certainly start to see the product, but I didn't know if you saw the most of the impact in 3Q? Or we would see mostly impacted by 4Q? Any thoughts would be great.
Dylan Lissette: Yes. I mean that's -- we started setting stores in, I believe, April and May. So that was second quarter, third quarter started to build. And this is public, as an example. And I prefer not to talk about specific customers, but we've sort of named publics because it was such a large sort of entry for us. But we're in such early innings. I've been doing this for 27, 28 years almost. It's about building relationships with customers that go on for decades. I, obviously, was here back in the day when Walmart was a $50 million business for us, and it's whatever, 5x, 6x, 7x bigger today. You build a relationship with a customer. You service them right. We had under 3% market share in Florida. It's a $2.2 billion snacking category. We're, obviously, growing that as we build out this sort of published relationship. But this is such early innings. I mean we want to be talking about publics 10 years from now when it's just a massive customer for us. And what it really does is beyond adjust that customer publics, it really opens up all of the other channels, customers in that market. There's no reason that we shouldn't have 8%, 9%, 10% market share like we do up in the Mid-Atlantic five, six, seven years from now. And it's a nice $2 billion market that obviously is growing, as we all know as a category, but also as a state and as a geography growing quite well. So we look at this as early innings. It should be easily a $50 million customer. In the short-term, it should be 2x to 3x that in years to come, just because that's the natural progression of most of our customer relationships.
Bill Chappell: Great. Thanks so much.
Dylan Lissette: You're welcome.
Operator: Our next question comes from Ben Bienvenu from Stephens. Please go ahead. Your line is open.
Jim Salera: Hi guys. Its Jim Salera on for Ben. I wanted to ask on the volume side of things. I think you guys saw a negative volume for the first time this year. Is that also just a function of lapping the higher promotions last year or maybe we started to see kind of the upper point of consumer tolerance for these price increases?
Ajay Kataria: Hi, I'll take that. The main driver of negative 2% volume in the quarter was 300 to 400 basis points pull down because of our own SKU rationalization activities. So really, the business -- the underlying business is pretty strong. If you back that out, we're a couple of points up on volume. If you're looking at retail data, there is a lot that the retail data does not capture in terms of consumption. There's a business that retail data does not capture. We are growing in that part of the business as well as there is a distinction between units and pounds. Our units are doing well. Pounds are impacted by some weight-outs and activity that we have done in terms of mix. So there are dynamics in there. But the bottom line is we reported negative two on volume. It would have been positive two if you back out the impact of SKU rationalization.
Jim Salera: Okay. Great. And I guess just to build off that. When you guys do the SKU rationalization, especially if you're pulling out some of the partner brands on the private label. Is the hope that you then replace that shelf spot with either a power brand or one of maybe like a newer products? Or are you just giving up that spot and letting somebody else kind of take the lower-margin business on the private label side?
Dylan Lissette: Yes, Jim, this is me. And as an example on like Partner Brands, we took a partner brand that was running around $5 million in 2021. At the end of 2021, we terminated that partner brand relationship. We replaced that space with Utz Brands. The conversion process creates a couple months of sort of murkiness right, where one does not necessarily equal one, one may equal 0.6. But then two months later, it equals 0.8. Three months later, it equals one. Eight months later, it equals 1.2, 1.3. And to maybe Ajay's comments earlier about mix and the more that we replace that partner brand with a power brand of Utz, we're going to have a larger margin attributable to it. So we're thinking very long-term. This goes against private label and partner brand as well. We're thinking very long-term. We have our partners that make sense for us strategically, and we're going to maintain those. They're good for our system, for our efficiency. And then we have ones that I think we can rationalize, and we'll continue to sort of drive that. So when we think about our net sales growth in the quarter, and we think about volume, some of that we are literally proactively going out, like the example I gave. We're eliminating a customer relationship, and then we're replacing that with our either production, if we're perhaps removing a private label customer that we're making product for, or our brands if we're replacing like a partner brand that we had the opportunity to do that. Long-term strategic and, in our opinion, the right thing to do.
Jim Salera: Excellent. Thanks guys. I pass it on.
Dylan Lissette: Thank you.
Operator: And our last question comes from Peter Galbo from Bank of America. Please go ahead. Your line is open.
Peter Galbo: Hey guys, good morning. Thanks for fitting me in. Just two really quick clarifications, I think, on my end. The first, Ajay, on your margin comment on fourth quarter being down versus the third quarter, I'm assuming that's an EBITDA margin comment, but does that also apply to gross margin?
Ajay Kataria: Yes, it's both.
Peter Galbo: Okay. And then maybe just, secondly, going back to Andrew's first question. Obviously, trying to understand some of the qualitative moving pieces on 2023 revenues or the revenue build. I guess it would just be helpful, the SKU rationalization, the 300 to 400 basis points, it was in the quarter, is that a good carryforward to use on a 4Q basis? And then when does that kind of finalize out in '23? And maybe the same on the IO discounts, should you be mostly through that at some point through '23? Thanks very much.
Ajay Kataria: So SKU at first. I think, at some point, I'm thinking, in the middle of the year, we're going to start to wrap the impact that we saw this year. So when we lap those, you're not going to see as big of an impact as we are seeing in the current quarters. But we will continue the SKU at program, probably not to the extent that we did this year, but we'll continue the program. We'll start to lap this year, at some point in Q2 next year. And then on the IO conversion piece, we will be substantially converted by the end of Q4. We'll have probably 100-ish routes to still convert in the first half. That is normal that there is always -- there are always routes being brought in and then presold, et cetera, that you're going to see. But for the most part, same thing, once we have fully converted, sometime in first half of '23, this impact from fresh conversions will start to lap itself and eventually go away when we get to the end of '23.
Peter Galbo: Great. Thanks very much.
Dylan Lissette: Thank you.
Operator: We have no further questions. I would like to turn the call back over to Utz Brands' CEO, Dylan Lissette, for closing remarks.
Dylan Lissette: Thank you very much for joining us today for our third quarter financial results. We ended with a great year, and it's a testament to our team and to our brand and to our company. And we thank you all, very much for joining us today.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.